Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Coherus BioSciences Fourth Quarter Earnings Conference Call. My name is Mike, and I will be your conference operator for the call today. At this time, all participants are in a listen-only mode. And as a reminder, this conference call is being recorded. I would now like to turn the call over to Patrick O'Brien, Senior Vice President of Investor Relations. Please go ahead.
Patrick O'Brien: Thank you, Mike, and good afternoon, everyone. After close of market today, we issued a fourth quarter financial results press release. This release can be found on the Coherus BioSciences' website. Joining me for today's call will be Dennis Lanfear, President and CEO and Chairman; Barbara Finck, Chief Medical Officer; Jean Viret, CFO; Matt Hooper, EVP and General Counsel; and Michael Fleming, EVP of Sales and Marketing. Before we begin our formal remarks, I'd like to remind you that we will be making forward-looking statements with respect to product development plans, all of which involve certain assumptions, risks and uncertainties that are beyond our control and could cause actual results to differ from these statements. A description of these risks can be found on our most recent Form 10-K which we filed this afternoon after market close. In addition, Coherus BioSciences does not undertake any obligation to update any forward-looking statement made during this call. I would now like to turn the call over to Denny.
Dennis Lanfear: Thank you, Patrick, and thank you all for joining us today on the quarterly and year end call. So we will give you a review of the CHS-1701 BLA status and then Jean Viret, our CFO will give you a rundown on the financial position and results. Then we'll be happy to take some additional questions for you. So let me first start then with the review of the BLA resubmission for CHS-1701. We have completed our meetings with the FDA regarding the immunogenicity assay and the CMC-related issues. Now regarding immunogenicity as we previously stated, the assay development and then the validation was complete and the next step was review such validation with the FDA for acceptability and appropriateness process at samples. Now with the new - the super 2 timelines in practices, FDA provides preliminary feedback to sponsor's briefing documents about a week before the meeting date which is very helpful. In this case, the written premeeting comments stated that the immunogenicity assay approach was acceptable and the actual meeting the FDA reiterated that the assay was acceptable. Consistent with previous guidance, we intend to file the resubmission directly after receipt of minutes, completion of the testing and related activities, integration of the results into the submission. Now at this point, sample testing is complete and we feel we're making very good progress in terms of analyzing and incorporating the new data into the revised file. And Dr. Finck is with us today to answer any questions you may have pursuant to that effort. Now in terms of the data itself, we believe these data support the refiling of the BLA and ultimately the products approvability. If we had developed any data that we believe would have jeopardized the acceptability or the approvability of BLA, we would have consider that material and made such disclosure which we did not. However, we do want to emphasize that it is the sole purview and responsibility of the FDA to determine the approvability of any clinical data in support of any BLA. Thus, we will refrain from further comments with respect to any adjudication of the data at this time. Lastly I would point out that with about 450 healthy volunteers exposed to CHS-1701 in studies comprising more than 600 patients altogether, we believe we have a very robust immunogenicity package. Lastly, to go with our three arm triple crossover PK PD study we believe that we are very robust clinical data package overall. That is my remarks relative to the BLA and 1701. We will be happy to take any further comments. In the interim, I'll now turn you over to Dr. Jean Viret, Company's Chief Financial Officer for the financial review. Jean?
Jean-Frédéric Viret: Thank you, Denny. Let me give you an update on our financial position and results. As we indicated at the beginning of the year, our cash and cash equivalents totaled $126.9 million as of December 31, 2017. And our use of cash in operations and capital purchases was approximately $30 million in the fourth quarter which compares favorably to our guidance of $35 million to $40 million. The main driver leading to our lower use of cash in our fourth quarter guidance was due to entering into an agreement with KBI, our manufacturing partner for CHS-1701 under which we settle certain manufacturing costs with shares of common stock. We continue to anticipate use of cash in operations between $30 million and $35 million per quarter in the first and second quarters of 2018. We will provide further guidance on use of cash for the second half of 2018 as we progress through the year. Research and development expense decreased year-over-year by $92 million and by $27.5 million in the fourth quarter of 2017 compared to the same quarter in 2016. The decreases in R&D expense periods-over-periods were mainly due to the reduction in manufacturing clinical and analytical costs associated with our anti-TNF programs CHS-0214 and CHS 1420. General and administrative expense increased of $19.7 million in 2017 compared to 2016 was mainly attributable to salary and stock compensation costs associated with the hiring of personnel in the first half of 2017 to support the CHS-1701 pre-commercial activities and cost related to legal and other professional services. As a result of cost control steps taken in June 2017, G&A expenses decreased to pre-2017 levels in the second half of 2017. Net loss attributable to Coherus for the fourth quarter of 2017 was $49.1 million or $0.84 per share compared to a net loss of $75.9 million or $1.71 per share for the same period in 2016. Net loss attributable to Coherus for 2017 was $238.2 million or $4.48 per share compared to a net loss of $127.3 million or $3.04 per share for 2016. We will now turn the call to Q&A. Operator, you may open the call to questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Ian Somaiya with BMO Capital Markets.
Steve Seedhouse: Steve Seedhouse on for Ian. Thanks for taking the questions. Now you guys have cleared the first hurdle with the FDA on the immunogenicity assay. Can you share any more details about the assay itself or about the samples you reanalyzed. How many samples sensitivity of the assay really anything to help us get comfortable with how elaborate the change in the assay and the amount of data to be submitted?
Dennis Lanfear: Well thank you for your questions. We have previously indicated that there was a certain subset of samples that the FDA asked us to re-examine. And we've also previously indicated that they asked us to do so with a heightened sensitivity assay and there was 5 or 10 times more sensitive than the previous assay. So we talked about that. We also talked about how that assay was developed and validated now we've talked about how that assay was accepted by the FDA for sample processing and now we’ve processed all the samples. And we’ve told you that there is no surprises with the sample processing that we intend to incorporate these results into the BLA. And we're working therefore going forward on the submission. So in terms of comfort I think that should provide substantial comfort that things are moving along as we had previously discussed. It certainly took a little time to go through all these steps and so on but I think we are very optimistic about getting the filing done and so on.
Steve Seedhouse: And then in Europe have you shared these data I guess with EMA and when was the last time you spoke with them and is there alignment there on this new assay and the data as well in Europe?
Dennis Lanfear: Great question. As we've previously indicated, the EMA has to review the same immunogenicity re-announces data as the U.S. FDA as those two authorities seek to harmonize approval, data, and data requirements across jurisdictions. So the EMA has signaled to us that they will extend our application response time such that we can include all the additional data that the FDA will see. And for our previous guidance, we continue to expect approval of 1701 in Europe sometime in the second half of 2018. So we think the EMA was accommodative in terms of their timing flexibility in wanting to see all the data that the FDA saw.
Steve Seedhouse: If I could ask a question - just last question on Neulasta Onpro. So more than 60% of the market now exiting 2017 and growing it looks like use of Onpro. So how sticky do you expect that to be and can you just remind us if you have plans or if you have already developing similar device and what steps would be needed to advance that forward or is not necessarily a priority right now? Thank you.
Dennis Lanfear: As we've previously indicated, we have under development and consideration our own robotic injection device. However, we believe that the Onpro segment is not as sticky perhaps as one would imagine and I would just allow Michael Fleming to make some additional comments here pursuant to Onpro and how we see that part of market. Michael?
Michael Fleming: So I guess the first things I’d say is, Neulasta has been around for about 15 years with the prefilled syringe, physicians were very comfortable in practicing in the absence of an Onpro device using a prefilled syringe. It is understandable Amgen is working to convert the market. Our own research indicates that there are really two fundamental value drivers that they're playing off for the conversion, one is economics and the other is patient convenience. So essentially they’re discounting the product to convert and they're driving on both of those value drivers to convert while they’re unopposed. Now we believe that when we introduce a price competitive offering those scales are going to balance and we’re confident that we’re going to do well.
Dennis Lanfear: Yes, I would further say that we believe that the entire market and not just the non-Onpro market is addressable by us. Thank you.
Operator: Your next question comes from Alethia Young with Credit Suisse.
Alethia Young: One, do you have like kind of any timeframe you’re going to offer up as to when you think you’ll be ready to file in the United States. And then secondarily, we've all debated what a panel or not means. Can you just maybe talk about your perspective on if - now that you had those meeting maybe - will we need a panel or will we not or is that a factor in determining whether there will be a panel? Thanks.
Dennis Lanfear: So consistent with the previous guidance, the filing timing is going to fall number one receipt of minutes in the FDA meetings and then transfer of all the final data sets from the analytical CROs to Coherus. And then integration results into requisite clinical documents and so on and the resubmission. So I would - pursuant to your question I would say that this resubmission process like the process before is taking about the amount of time that we anticipated. So we don't have a firm date for the resubmission that I can offer you but I can assure you that we’re working on that quite aggressively Dr. Finck and her team. And I think that we’re making very, very good progress as we’ve said. Now the second thing pursuant to any advisories committee that - it is at the sole discretion of the FDA and a product-by-product and a sponsor-by-sponsor basis to determine whether it’s going to be an ODAC and how to evaluate the totality of the data necessarily to support any approvals for biosimilars. Historically of course FDA has had an ODAC for the first biosimilar in each class. And so on the one hand it would lead you to believe that they would perhaps have an ODAC. However, we do not have any fresh signaling from FDA whether an ODAC would be required or not. I could personally I could see that falling either way. I will say though that we will be very prepared for the ODAC as we were last time and we’ll begin our preparations shortly after the resubmission. And of course if we get an ODAC will announce that in press release, set accordingly for you.
Operator: Your next question comes from Chris Schott with JPMorgan.
Christopher Neyor: This is Chris on for Chris. At a high level for a biosimilar Neulasta launch, what are your expectations for the product's uptake curve? You've mentioned in the past that there's been some recent positive developments, including a unique J-code and a premium 340B hospital reimbursement for biosimilars. So for a launch, should we expect the uptake rate that's kind of similar to biosimilar Neupogen or maybe something faster?
Dennis Lanfear: Yes. I’m going to let Michael Fleming to take that question in a consideration in terms of the J-code and number of other things but also in terms of how the uptick curves look with respect to various things out. Michael?
Michael Fleming: Look I mean so first of all it’s premature to offer guidance on what our uptick is going to be. I think we need to file and get closer to launch. And at that point we can provide more specific guidance. With respect to the J-code and having the separate J-code, we view that as very, very positive for our company and our industry because essentially it means that we’re in command of our own pricing strategy and have an influence on the reimbursement rates. As far as 340B is concerned, I'll remind everybody that I think it's approximately one-third of Neulasta units flow through 340B. And biosimilars have been granted a pass-through reimbursement status within that category which is to say they’re going to get reimburse today as people are six as opposed to ASP minus 22.5 for the old technology in that space. So that’s a significant benefit and I think with respect to the analog that you cited that's a very, very nice and useful analog for us. The short-acting G-CSF marketplace is a very, very big success as far as biosimilars are concerned. Both Granix and Zarxio combined have taken approximately 60% of the Neupogen share or 60% of the G-CSF market. And I think in fact if you really look and analyze Zarxio uptake, it could be on for roughly a three-year time to peak and that's something that we're analyzing now and that's really one of the first places we start to look at when we project what our uptake could be, it's the obvious analogue. So beyond that I can't really comment further until we get closer to market and see what the dynamic looks like. But we're very encouraged by that analog.
Christopher Neyor: And then for the pending Enbrel patent litigation, what gives you guys confidence in the upcoming IPR decision?
Dennis Lanfear: That's a great question. We have the company's General Counsel, Matt Hooper here, who can address the 0214 Enbrel IPR and so on. Matt?
Matt Hooper: I think what gives us a positive sense about the outcome on this and it is guarded guardedly optimistic is that we were able to identify arguments from the original CFAD Bass IPR that we're missing. I think on two fronts, I believe we presented a stronger case to the PTAB. The prior art that we selected were in our view much more of a direct hit showing the fusion construct. Secondly, the one thing that Bass did not do, he didn't really explain the arguments around unexpected results. The argument that Amgen made was that there was something unexpected about this fusion construct. We hit that really hard in our IP and I think that is a strong differentiator that gives us some confidence that we may get a positive decision on institutions.
Dennis Lanfear: And I would just add to dovetail with Matt’s remarks that, it's hard to guess or project how the PTAB will view the issue of a reasonable likelihood of success for any particular pattern that you choose to appeal in this process. There's a lot of prior art which would on one hand argue for that. And on the other hand you know you could see them taking other positions. So very, very difficult for us to sort of handicap what the outcome will be. But I think we'll know in just a little while here.
Operator: [Operator Instructions] Your next question comes from Mohit Bansal with Citigroup.
Mohit Bansal: Just wondering if you could please comment on the timing of the disclosure when you file. I think your last comment was that I mean you'd probably provide some color when there is an acceptance of the filing by the FDA. Has anything changed there or do you expect to disclose when you file at this point?
Dennis Lanfear: Well certainly we intend the press release when the application has been accepted. As you point out what we have done and said is that, we would press release when the application is filed. That's our current plan is just press release upon acceptance. If that changes well be certain to let you know. But we think that's the most appropriate time to make a public announcement at this particular point.
Mohit Bansal: And then if I could sneak in one more. So in terms of Enbrel and HUMIRA development at this point so you have been clear that you would seek a partner here. But in terms of the manufacturing plan, do you think you would actually go forward with those plans after you have selected a part that responsibility will be of the partner? Or do you think you can move forward there?
Dennis Lanfear: Manufacturing is necessarily part of the BLA. How you manufacture your drug for Phase 3 and so I'm pretty much dictates how you will enter the market with a similar facility. You of course have the opportunity to do post approval supplements to change manufacturing facilities - post approval. However in the longer view on these products, we're positioning the 1420 HUMIRA biosimilar for launch in second half of 2022 when we project the key patents will fall and we are gearing our manufacturing strategies around that. So I would just lastly say that that's probably - the manufacturing plan will probably be in place upon partnering but we'll see how things go with 0214 here next week with the IPR.
Operator: We have time for one more question. Your last question comes from Douglas Tsao with Barclays.
Douglas Tsao: Based on the progress you've made with 1701, I'm certainly coming out of the meeting with the FDA as well as to sort of initial take on the reanalysis. You've done a nice job in terms of pulling back the spend in the business to win at the cash burn. Are you at a point where you can start to sort of putting some money back into the business in terms of investment for and preparing for commercial launch or are you going to sort of still wait a little bit more until you sort of start making those investments?
Dennis Lanfear: That's a great question. We of course have fully developed and flushed out plans pursuant to the financial requirements for commercial launch. We want to make sure that we have a very successful launch. Michael and his team are making certain that all of the stakeholders are aligned, for example that we reach out to them. It’s very important that we have certain infrastructure investments put in place, certain hiring put in place, in the commencer amount of time prior to launch. So we're keeping a very close eye on that and so on. So your point is well made, I think that we have a very keen understanding of just what those investments are how that will dovetail into our overall financial plan. John and his team work on them actively. And then lastly I would say, as we get the file done and we get into the review process with FDA and head in towards approval, we'll have a little more say about the spends and the ramp up on the commercial side and we'll give you a little more visibility at that particular point in time. But you're absolutely correct, it's right in the crosshairs and were quite focused on it.
Douglas Tsao: And I guess just as a follow up Denny, so should we expect to start to see some of those cost come back into the business beginning in the second quarter or is that more likely a second half of the year event.
Dennis Lanfear: JV you want to give that go.
Jean-Frédéric Viret: Some of these costs will come back, but also some of the other cost may come off as you know sometimes manufacturing is lumpy. So we may have campaigns, you know but start - I think in terms of magnitude of cost manufacturing is really where you'll see no differences as we get closer to launch. I’d tell some of the manufacturing activities and this is where mix was of course, but in general cost related to commercial launch outside of manufacturing are relatively modest to those of manufacturing.
Michael Fleming: Just as a historical comparator Doug and maybe this is what you're thinking. Our burn rate maybe a year ago or more was quite substantial, you know 75 million a quarter and so on. We had Phase 3 cost for 2 anti-TNF programs on top of a significant cost of 1701 program, manufacturing work on three programs simultaneously. So that sort of burn is what you get when you're advancing two or three programs in late stage part of BLAs and so on. So we don't have that situation again. And as JV said, the infrastructure, headcount and other investments required on the commercial side to support the launch are far more modest than those sorts of expenditures on the development side where historically. If that's helpful.
Operator: With no additional questions, I will now turn the call back over to Mr. Lanfear for closing comments.
Dennis Lanfear: Thank you very much. And thank you all for joining us today on our quarterly call. We're pleased to report the good progress that we've made in the 1701 program with sample test analysis and now moving into the finalization of the resubmission. We’ll certainly update you as we make progress on that. And lastly I would just offer that we will be at Cowen early next week and that will be followed by Barclays in Miami mid next week. So, any further questions please feel free we'll get together and be happy to chat. Thank you all.
Operator: And we look forward to talking to all of you again. Thank you all for your questions today and we look forward to updating you on our future progress.